Operator: Good day, ladies and gentlemen, and welcome to the Garmin Third Quarter Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will follow at that time. As a reminder, this conference is being recorded. I'd now like to introduce your host for today's conference, Teri Seck. Ma'am, you may begin.
Teri Seck - Garmin Ltd.: Good morning, everyone. We would like to welcome you to Garmin Limited third quarter 2016 earnings call. Please note that the earnings press release and related slides are available at Garmin's Investor Relations site on the Internet at www.garmin.com/stock. An archive of the webcast and related transcript will also be available on our website. This earnings call includes projections and other forward-looking statements regarding Garmin Limited and its business. Any statements regarding our future financial positions, revenues, earnings, market shares, product introductions, future demand for our products and objectives are forward-looking statements. The forward-looking events and circumstances discussed in this earnings call may not occur, and actual results could differ materially as a result of risk factors affecting Garmin. Information concerning these risk factors is contained in our Form 10-K, filed with the Securities and Exchange Commission. Presenting on behalf of Garmin Limited this morning are Cliff Pemble, President and Chief Executive Officer; and Doug Boessen, Chief Financial Officer and Treasurer. At this time, I would like to turn the call over to Cliff Pemble.
Clifton A. Pemble - Garmin Ltd.: Thank you, Teri, and good morning, everyone. As announced earlier today, Garmin reported third quarter results highlighted by both revenue and EPS growth with four of our five business segments delivering double-digit sales growth and increased profitability. Consolidated revenue increased 6% year-over-year with Fitness, Outdoor, Marine and Aviation collectively growing 24%, while contributing 70% of total revenue and 84% of total operating income in the quarter. Each of our business segments produced strong results, which I will highlight shortly. Gross margin expanded to 56.2% from 53.3% in the prior year, as sales shifted towards products with higher margin profiles. Operating margin expanded to 22.1% from 18.5% in the prior year, and operating income grew 27% on a consolidated basis. These strong results generated $0.66 of GAAP EPS. Pro forma EPS came in at $0.75, an increase of 47% over the prior year. Wearable products were a major contributor to our strong third quarter performance and we continue to expand into new product categories with the launch of the vívofit jr. and the fēnix Chronos. Next, I will highlight segment specific results and initiatives. Starting with Fitness, revenue increased 32% year over year led by strong demand for our wearables. Gross margin came in at 55% and operating margin was 24%, an expansion of more than 500 basis points over the prior year. Operating income grew 68% in the quarter. During the quarter, we expanded our market with the launch of the vívofit jr. This activity tracker is designed specifically for kids, the colorful one-piece bands that fit comfortably on a child's wrist. vívofit jr. shares many of the unique differentiators of our vívofit line such as an always-on-display, fully waterproof design, and one-year battery life while adding a compelling parent-controlled mobile app that helps motivate kids to stay active. We also launched the Forerunner 35, bringing Garmin Elevate wrist heart rate technology to our entry-level running product line. The Forerunner 35 features GPS, multiple activity profiles, smart alerts and a new high-resolution display that is perfect for both indoor and outdoor use. In the corporate health market, we recently announced a partnership with Cerner, a health information technology company. Through this partnership, Garmin will provide devices that capture powerful health and wellness data that could be integrated into Cerner's wellness and population health solutions. Looking next at Outdoor; revenue increased 28% year-over-year on strong demand for our outdoor wearables and contributions from our recently acquired DeLorme subsidiary. The Outdoor segment generated strong gross and operating margins of 63% and 35% respectively and operating income grew 32% over the year-ago quarter. We recently launched the fēnix Chronos, our first offering in the luxury watch category. The fēnix Chronos line is crafted from premium jeweler's grade materials and is designed to look spectacular in any business, social or personal setting without sacrificing the rugged, multi-sport capabilities associated with our brand. We continue to invest in our traditional outdoor product lines as evidenced by the recent launch of the Rino 700 series, which features a three-inch multitouch display and Bluetooth connectivity for real-time weather and position reporting. Looking next at Marine; revenue increased 12% year-over-year driven by growth in multiple product lines and led by strong demand for our fishfinders. Gross margin increased to 57% in the quarter while operating margin expanded to 15%. Operating income grew 80% in the quarter. For the second consecutive year, we were recognized by the National Marine Electronics Association as Manufacturer of the Year. This award, along with seven Product of Excellence Awards, confirms our dedication to designing, manufacturing and selling industry-leading products for the marine market. In addition, at the International Boatbuilders' Exhibition, we received an innovation award for our recently launched Fantom solid-state radar. Turning next to Aviation, revenue grew 14% over the prior year as we experienced growth in both OEM and aftermarket product categories. Gross and operating margins remained strong at 75% and 28%, respectively, resulting in a 28% increase in operating income. During the quarter, we received certification of the G5000-equipped Beechjet 400A and we began deliveries of this system to installers. We announced earlier this week that we were developing a G5000 integrated flight deck upgrade for the Citation Excel and the XLS. This upgrade will feature three high-resolution displays, a modern fully-digital flight control system and enhanced safety features. We expect to receive certification of this system in late 2018. Looking, finally, at the auto segment, revenues were down 21% in the quarter, primarily due to the ongoing PND market contraction and headwinds caused by revenue deferrals associated with certain auto OEM programs. Gross margin came in at 44% and operating margin was consistent year-over-year at 12%. While the PND market continues to decline, our global market share remains strong. During the quarter, we launched our latest action camera, the VIRB Ultra 30. This new action camera shoots stunning 4K resolution footage at 30 frames per second. The VIRB Ultra 30 also includes first-to-market features such as voice control, color LCD with touchscreen, one-touch live streaming and our G-Metrix sensors. Finally, with three quarters of the year behind us, we are raising our projected revenue for the year to $2.95 billion, up approximately 5% over 2015. We are projecting gross margin of approximately 55% and operating income of approximately $580 million for the year. Factoring in an effective tax rate of approximately 18.5%, pro forma earnings per share is expected to be approximately $2.65. Looking at our guidance by segment, we have increased year-over-year growth expectations by roughly 200 basis points to 400 basis points for all segments except auto where we are holding our guidance of down 17% for the year. That concludes my remarks. Next, Doug will walk you through additional details on our financial results. Doug?
Douglas G. Boessen - Garmin Ltd.: Thanks, Cliff. Good morning, everyone. Let's begin by reviewing our third quarter results and move to comments on the balance sheet and cash flow statement. We posted revenue of $722 million for the third quarter, representing a 6% increase year-over-year. Gross margin was 56.2%, a 290 basis point increase from the prior year. Operating expense as a percentage of sales was 34.1%, a 70 basis point decrease from the prior year. Operating income was $160 million, a 28% increase over the prior year. Operating margin was 22.1%, a 360 basis point increase from the prior year. Our GAAP EPS was $0.66, a 6% growth to the prior-year quarter, and pro forma EPS was $0.75, a 47% growth to the prior-year quarter. We'll discuss gross margin, operating expenses in more detail later. Next, we will look at third quarter revenue by segment. In the third quarter, we achieved double-digit growth in four of our five segments led by robust growth in our Fitness and Outdoor segments, and solid growth in our Marine and Aviation segments. Collectively, these four segments were up 24% compared to the prior-year quarter. Looking next to third quarter revenue charts, the Auto segment represented 30% of total third quarter 2016 revenue, compared to 40% in the third quarter of 2015. Fitness grew to 26% of revenue in the current period compared to 21% in the prior year, while Outdoor grew to 19% from 16%. You can see it in the charts that illustrate our profit mix by segment, Outdoor, Fitness, Marine and Aviation collectively delivered 84% of operating income in the third quarter of 2016. Fitness operating income as a percentage of total operating income increased from 21% to 28% and Outdoor increased from 29% to 31%. Looking at year-over-year gross margin by segment. All segments posted a gross margin rate increase as sales shifted toward products with higher-margin profiles. Total corporate operating margin increased from 18.5% to 22.1% primarily due to gross margin improvement. Looking next at operating expenses, third quarter operating expense increased by approximately $9 million or 4%. Research and development increased $10 million year-over-year, but was flat as a percent of sales. We continued to invest in innovation, to increasing resources focused primarily on Aviation, Fitness and Outdoor. Our advertising expense decreased $4 million to the prior year quarter, representing a 4.6% of sales, an 90-basis-point decrease. The decrease in advertising was primarily in auto. We expect our fourth quarter advertising spend to increase both sequentially and year-over-year to support our wearable products. SG&A was up $3 million compared to prior year quarter, however decreased 40 basis points as a percent of sales to 13.4%. Increase in SG&A, was driven primarily by expenses associated with the addition of the DeLorme business. Few highlights from the balance sheet, cash flow statement and taxes. We ended the quarter with cash and marketable securities over $2.4 billion. Accounts receivable decreased sequentially as a result of seasonally lower sales in the third quarter but increased year-over-year to $461 million from stronger sales. But inventory balance increased sequentially to $535 million to prepare for the quarter and remains higher year over year due to new product offerings. In the third quarter of 2016, we generated free cash flow of $199 million, a $75 million increase from the third quarter of 2015. Also, during the quarter, we paid dividends of approximately $96 million, repurchased approximately $20 million of company stock. We have roughly $103 million remaining in the share purchase program that's authorized through December 31, 2016. We expect to repurchase as business and market conditions warrant. Effective tax rate was 16.5% in the current quarter compared to 27.6% in the prior year quarter. The decrease in effective tax rate is primarily due to projected income mix by jurisdiction compared to prior year. This concludes our formal remarks. Esther, can you please open the line for Q&A?
Operator: Absolutely. . Our first question comes from the line of Joe Wittine with Longbow Research. Your line is now open.
Joe H. Wittine - Longbow Research LLC: Hi, thanks. Congratulations, obviously that top line number ex auto is impressive. First question, the implied fourth-quarter guide assumes a really healthy uptick in operating expenses, I think Doug you touched upon it quickly, but can you talk about where that falls on a segment basis and walk us in a little bit more detail through the rationale, I'm guessing it's a lot of ad spend for the holiday season. But I'm wondering if there is anything else in there?
Clifton A. Pemble - Garmin Ltd.: Yeah. Yeah, exactly, right. For the Q4, advertising will be higher dollars as well as a percentage of sales year-over-year. When we think about advertising for the full-year, we think advertising as a percentage of sales will be comparable to 2015. Also a few additional things in operating expenses, one of which is the 53rd week we previously talked about last quarter, which we have, as well as we have additional expenses due to DeLorme acquisition.
Joe H. Wittine - Longbow Research LLC: With that – because I assume it's mostly focused in fitness, do you expect op profits within the segment to grow in the fourth quarter, either sequentially or year-over-year; however you want to talk about it?
Douglas G. Boessen - Garmin Ltd.: We don't give that type of guidance.
Joe H. Wittine - Longbow Research LLC: Okay. Fair enough. And then maybe moving on for a follow-up here. VIRB isn't discussed much, but the new product is impressive with some first-to-market features as you said and some unique features still as well. So curious what you're seeing, if anything, from a share perspective now that the product is in the market, since new products are showing up from the main competitor there as well. Thanks.
Clifton A. Pemble - Garmin Ltd.: Yeah, Joe, definitely it's early days in terms of VIRB. We do have somewhat limited distribution, mostly online and as we've talked about before, the market is very mature with an entrenched dominant competitor. So, initially, our feeling is it's doing well compared to our expectations, but we're admittedly taking a conservative view.
Joe H. Wittine - Longbow Research LLC: Okay. Fair enough. I'll step aside. Thanks, Cliff.
Clifton A. Pemble - Garmin Ltd.: Thanks, Joe.
Operator: Our next question comes from the line of Charlie Anderson with Dougherty & Co. Your line is now open.
Charlie Lowell Anderson - Dougherty & Co. LLC: Yeah. Thanks for taking my questions and my congrats as well on really strong results.
Clifton A. Pemble - Garmin Ltd.: Thanks, Chuck.
Charlie Lowell Anderson - Dougherty & Co. LLC: Yeah. So just looking at the Fitness guide, you guys raised it by 200 basis points for the year, so it assumes a pretty healthy slowdown into Q4, coming off these 30% growths down to 15% or so and you do get that extra week. So I wondered if you could maybe speak to why you're assuming that larger slowdown. I think you do get an easier comp to – just generally how you're feeling about the category both running and activity tracker, how the holiday season looks compared to last year competitive wise, shelf space wise, promotional, any other color there would be helpful?
Clifton A. Pemble - Garmin Ltd.: Okay. Yeah, so we feel good about the fourth quarter. We would highlight that we're up against stronger comparables from last year when we launched very strong products, the Forerunner 235 and the vivosmart HR, particularly. So this year we're comping against those and just anticipating a competitive market.
Charlie Lowell Anderson - Dougherty & Co. LLC: And then, on Aviation, you guys did updates – you had a strong quarter and you updated your growth there. Just, generally, how you're feeling about that market. I think, generally, the market still seems fairly soft, but maybe some of the platforms you are on doing a little bit better. How should we think about the long-term outlook for Aviation for you guys right now?
Clifton A. Pemble - Garmin Ltd.: I think, currently, the macro outlook is somewhat soft, as you pointed out. We feel like we've been able to do well, particularly driven by ADS-B products as well as the pull through of other products that we sell in addition to ADS-B when somebody upgrades their panel. I think long-term we're feeling good about Aviation, the opportunities that are there, but it will take some time to play out and investment to get there.
Charlie Lowell Anderson - Dougherty & Co. LLC: Thanks so much.
Clifton A. Pemble - Garmin Ltd.: Thanks, Charlie.
Operator: Our next question comes from the line of Simona Jankowski with Goldman Sachs. Your line is now open.
Simona K. Jankowski - Goldman Sachs & Co.: Yes, hi. I just wanted to ask you about your expectations into the fourth quarter in terms of shelf space with retailers compared to last year and also promotional activity that you expect from your retailer partners? And then, with all the recent introductions over the last couple of quarters, was this September quarter still one where you are benefiting from net inventory additions into the channel or was sell-in and sell-through more closely aligned?
Clifton A. Pemble - Garmin Ltd.: Yeah. So in terms of the first question, we believe our shelf space actually has improved over what we had last year. For instance, this year we have expanded shelf space in Best Buy stores, in their top 220 stores, going from four-feet to eight-feet with four-feet in other stores. So that was an improvement over last year. We have additional space, for instance, for vívofit jr. in many retailers. So, in general, we feel pretty good about our shelf space situation. And retailers, we believe, are getting behind the products in terms of buyers and promotions and specials for the holidays, so we feel good about that. In terms of sell-in and sell-through balance, we feel like things are fairly well-balanced right now. We did have some product introductions in the quarter, such as the Forerunner 35 and the vívofit jr., but in general those were somewhat limited sell-in in Q3 and we expect additional sell-in to occur in Q4.
Simona K. Jankowski - Goldman Sachs & Co.: Thank you.
Clifton A. Pemble - Garmin Ltd.: Thanks, Simona.
Operator: Our next question comes from the line of Brad Erickson with Pacific Crest. Your line is now open.
Brad Erickson - Pacific Crest Securities: Thanks for taking my questions. So relative to mix, can you give us a sense of what ASPs did directionally for Fitness year-over-year and how significant that was contributing to this growth we're seeing?
Clifton A. Pemble - Garmin Ltd.: Well, I think we are selling a number of products that are higher ASP, particularly in what we would call our tracker category, although the categories are somewhat blurring in terms of the lines between them. For instance, we have the vivoactive HR this year, which is a mid-$200 category for us, but it's generally tracked as a tracker product, and we're also doing very well on the running side with mid-to-higher range devices. So that's balanced by increased volume and lower ASPs on basic trackers, but overall we think that we've done well in those other categories.
Brad Erickson - Pacific Crest Securities: Okay. And then, geographically, can you just rank order the contributors that drove the Fitness growth that we're seeing? Thanks.
Clifton A. Pemble - Garmin Ltd.: Well, we're seeing growth across the globe in all major regions. So it has been particularly strong in Europe where the market is developing. It is behind in its development compared to that of, particularly, North America and we also saw strong growth in APAC.
Brad Erickson - Pacific Crest Securities: Got it. Thanks.
Clifton A. Pemble - Garmin Ltd.: Thanks, Brad.
Operator: Our next question comes from the line of Tavis McCourt with Raymond James. Your line is now open.
Tavis C. McCourt - Raymond James & Associates, Inc.: Hey. Thanks, Cliff, for taking my question and good quarter.
Clifton A. Pemble - Garmin Ltd.: Thank you.
Tavis C. McCourt - Raymond James & Associates, Inc.: First, on the Aviation segment, obviously, your commentary seems a little different than your two largest competitors who seem to have some bigger struggles there; and then, also, your Q4 guidance on Aviation seems to suggest more of a flattish quarter year-over-year. So was there timing of shipments that positively impacted this quarter or better execution on ADS-B or any commentary around why the higher growth rate this quarter? And then secondly, if you could comment, Doug, on foreign currency, specifically the pound. Is that a big enough move yet given your limited exposure there to impact the fourth quarter guide? Thanks.
Clifton A. Pemble - Garmin Ltd.: So in terms of our experience in the aviation market, I think one of the things we see is the growth in the ADS-B category. That did go very well for us in Q3 and it had second-order effects as we sold additional products and display systems into cockpits that we're getting ADS-B upgrades. So that drove a big part of the overall growth in the aviation side. In terms of Q4 in our outlook there, the market has been soft for a long time, and so we're taking somewhat of a conservative approach as we look at Q4 and just wait and see how the market develops.
Douglas G. Boessen - Garmin Ltd.: Yes, and regarding the FX impact, for Q3 we saw about $6 million of a revenue headwind primarily due to the pound. So given some of the increased weakness there, we probably anticipate a little bit more than that going into Q4. But I should say also that the percentage of our business depending upon the pound is about 5%, so it's not a significant percentage of our business.
Tavis C. McCourt - Raymond James & Associates, Inc.: Great. And if I could ask a quick follow-up, Cliff, on the ADS-B. Those are at a standalone product relatively low ASP. Should we think about that as lower gross margin business? But if you are able to effectively use that to cross-sell to sell bigger retrofit systems, then it becomes a much bigger positive impact to Garmin. Is that a good way to think about it?
Clifton A. Pemble - Garmin Ltd.: We feel like the gross margin is consistent. It's in line with the overall segment, so not really a lower-margin category for us.
Tavis C. McCourt - Raymond James & Associates, Inc.: Okay. Thanks very much.
Clifton A. Pemble - Garmin Ltd.: Okay. Thank you.
Operator: Our next question comes from the line of Jerry Liu with Morgan Stanley. Your line is now open.
Jerry Yuan Liu - Morgan Stanley & Co. LLC: Thanks. So first question on gross margin. If I look at the December quarter, full-year guidance implies about a 52% gross margin, down a little over four points sequentially. Historically fourth quarter tends to be a little bit lower sequentially, but this year it seems to be a bigger magnitude than the last few years. So I wanted to see what are the main reasons. Is it product mix? Do you anticipate more promotions, anything else?
Clifton A. Pemble - Garmin Ltd.: Yeah, in terms of overall gross margin, we do see both mix and promotional activities is driving the lower gross margin. Of course, promotional activities drives the margin by product categories and then mix of categories in terms of the sales volume in each one drives the overall situation in mix.
Jerry Yuan Liu - Morgan Stanley & Co. LLC: Okay. And maybe just a bigger picture question. When you look at some of your fitness tracker competitors like Apple recently announced they will subsidize Apple Watches and so they just hired a new VP of Digital Health. It seems like your competitors are looking at pilots and partnerships with insurers and others in the healthcare industry. So I wanted to get your take on that. What's your strategy? Do you see any opportunities to get into either the healthcare space or to work more with employers to subsidize some of these devices? Thank you.
Clifton A. Pemble - Garmin Ltd.: Well, as we mentioned in the remarks, we are pursuing that kind of business as well. We partnered with Cerner recently. We also have partnerships with insurance companies like Manulife and others and we also do deals with individual corporations as well. So it's an opportunity we're pursuing.
Operator: Our next question comes from the line of Will Power with Robert W. Baird. Your line is now open.
Will V. Power - Robert W. Baird & Co., Inc. (Broker): Great. Thanks. Yeah, just a couple of questions. Maybe just to come back to Fitness, you had a couple of these high-profile launches. You had the second generation Apple Watch that has GPS for the first time. I guess I wonder whether you've seen any impact on your running watch business since it's at least somewhat more of a competitor with GPS or is it still too early and, I guess, likewise with the new Fitbit devices, I wonder if you could – any commentary around share shifts, et cetera, that you might be seeing there?
Clifton A. Pemble - Garmin Ltd.: Yeah. So in terms of the recent developments with the Apple Watch and GPS, as you point out it is still early days. But at this point, we don't see any detectable impact. I think we've said in the past that our products tend to appeal to a slightly different audience than the Apple Watch. Although, there is some overlap, but generally that's true. So that's the way we see things right now and of course, we'll see how things develop. In terms of the new Fitbit launches, in terms of our market share, we feel like it's generally stable. They've released new products, of course, and they have very strong share, but ours has also remained about where it was. We think it's in the 10% range.
Will V. Power - Robert W. Baird & Co., Inc. (Broker): Okay. And then, just on the auto business, it seems like we've seen a bit of an acceleration in the year-over-year declines. I guess I wonder if you had any more color on the drivers of that and is this somewhat of an anomaly looking at the past couple of quarters or is this 20% kind of year-over-year decline – is this perhaps a new normal?
Clifton A. Pemble - Garmin Ltd.: Yeah, so I think we did see the softness earlier in the year and last quarter we updated our guidance to be slightly more down than what we had previously projected. The weaknesses are primarily driven in Europe where the market has gotten softer. We think for the fourth quarter that there'll be some opportunity to kind of flatten that curve a little bit with promotional activity, but it is somewhat of a wait and see situation.
Will V. Power - Robert W. Baird & Co., Inc. (Broker): Okay, thanks.
Clifton A. Pemble - Garmin Ltd.: Thank you.
Operator: Our next question comes from the line of Ben Bollin of Cleveland Research. Your line is now open.
Ben J. Bollin - Cleveland Research Co. LLC: Good morning. Thanks, Cliff, Doug, Teri, appreciate the question.
Clifton A. Pemble - Garmin Ltd.: Thank you.
Ben J. Bollin - Cleveland Research Co. LLC: The first item, when you look at the Fitness business, how would you characterize the organic growth of the market as a whole? And then, kind of beyond the organic growth of the market, how would you say that – what's the benefit from incremental shelf space for stores versus kind of product refresh and expanded SKUs as you've expanded deeper into that category?
Clifton A. Pemble - Garmin Ltd.: Yeah, so in terms of organic growth, there's multiple categories within fitness, from the low-end trackers on up to high-end running watches. But we've seen growth in those categories on a global basis, on market growth if you will, over the past year. I think some markets are more mature than others, as I mentioned earlier, so the situation is probably different in Americas versus Europe versus APAC; but, generally, the market has been growing. In terms of benefits, I think, again, depends on category, but new product releases always generate excitement for sure. But at the same time, shelf space is vitally important, so we're working hard to have both good shelf space presence in retailers as well as strong product offerings.
Ben J. Bollin - Cleveland Research Co. LLC: When you look at the overlap you characterized with Apple, where do you see the most overlap across your portfolio when you look at Apple, which specific products or features do you think you have the most overlap, and then one last follow-up?
Clifton A. Pemble - Garmin Ltd.: Well, I think that's somewhat of a challenge because if you look at our Fitness product line, we have one kind of product and the features and the style that's there versus outdoor in our fēnix line, which has yet a different kind of style; but, generally, I would say that the kind of customer that overlaps with Garmin would be those that are probably more on the entry-level side to running and activity and are looking at what kind of device they could use to enhance their performance in running and other kinds of sporting activity. So that's generally the customer profile that would be overlapping with us.
Ben J. Bollin - Cleveland Research Co. LLC: Okay. And the last item, looking at the Aviation business, there was an announcement during the quarter, you are expanding your capacity. What is the company's long-term view on the ability to gain share with OEMs? And how are you thinking about the potential timing of winning more business even in regional commercial opportunities? And last – I apologize, last one on linearity of ADS-B, how do you think about that between now and 2020? Does it build as we approach that? Is it pretty linear between now and then? What's the right way to think about how that grows? Thanks.
Clifton A. Pemble - Garmin Ltd.: So in terms of our long-term view as highlighted by the announcement we made where we are investing in the Aviation business, absolutely, we have a strong view for the future of that business. And currently, we are running at near capacity in our current production facilities. And so, in order to meet the anticipated demand of the future, we felt like it was the right time to invest in our facilities. In terms of opportunities to win business, I think there's many opportunities to win business. Our G3000 and G5000 lines are very strong, and we believe that those products should appeal to a broad range of business jet platforms that we are currently not present in. Regarding the linearity of ADS-B, of course, we're seeing accelerating growth in that area as people become more aware of and interested in complying with the mandate. And we would expect to see stronger growth in ADS-B as we move into 2017 and 2018.
Ben J. Bollin - Cleveland Research Co. LLC: Thank you.
Clifton A. Pemble - Garmin Ltd.: All right, thank you.
Operator: We have a follow-up question from the line of Joe Wittine with Longbow Research. Your line is now open.
Joe H. Wittine - Longbow Research LLC: Thanks I appreciate it. In automotive, can you give any sense of what the OEM business looks like on an organic or apples-to-apples basis, light vehicles but to exclude the impact of deferreds?
Clifton A. Pemble - Garmin Ltd.: Yeah. So from auto OEM business, yeah excluding deferred, basically we did see some improvement there on a cash basis, year-over-year.
Joe H. Wittine - Longbow Research LLC: Okay. Is the – an improvement, so you are growing year-over-year or the rate of growth is improving or both?
Clifton A. Pemble - Garmin Ltd.: Yes. We are improving. Yes, dollars.
Joe H. Wittine - Longbow Research LLC: Okay, got it. And then maybe just finally Doug, a tax rate question, what's a good place to land our 2017 model given you changed the FY 2016 number here, given the change in Swiss tax laws we're all monitoring as well?
Douglas G. Boessen - Garmin Ltd.: Yes. So we will actually give guidance on 2017 in February. So it's a little too early for that at this point in time. We will go through that planning process over the next few months.
Operator: At this time, I'm showing no further questions. I would like to turn the call back over to management for any closing remarks.
Teri Seck - Garmin Ltd.: Thanks, everyone. Doug and I will be available for call backs. Have a great day. Bye.